Pieter Engelbrecht: Good morning and a very warm welcome to you all at our Interim Results Presentation for 2025. I'm going to just give a few highlights. Then Anton is going to explain some detail, pay special attention to what he's going to explain. There are a few changes in the current year number that will make comparability difficult but if you pay attention, you will understand and it will clear it for you. And then I'll give it some color towards the end again. Firstly, I just want to say this was a fantastic six months and I would be really amiss if I don't extend my thank you and my greatest gratitude to the people of Shoprite that worked extremely hard to achieve this kind of results. The group sales are up 9.6% to R128 billion. Now I say in any man's language, that's a lot of money. That's a big number. We are happy to say that we didn't just buy market share. It didn't come with giving margin away. We actually managed to also increase the gross profit margin by 30 bps. Trading profit up 13.5% more than sales or gross profit, which is quite commendable. And it's been a while since we've been able to have the trading profit line outperform the revenue line. EBITDA is up 16.7% up to R11.7 billion. That all resulted in headline earnings, especially a growth of 9.9%, just under the 10. So, operationally, if we look at the business, the sales growth, RSA Supermarkets was actually very strong. It was double digits, very good volume momentum, growth in customers and in volume, that's where the total result come from, at a time when the internal food inflation came down to 1.9%. And you will recall the previous time I said that I expect that if the inflation comes down that we will see some volume growth. And volume growth is so important for our suppliers to keep the costs down. So very pleased that we could grow volume almost 6%. The result of this growth and performance for the six months meant that we gained market share of R4.7 billion. It's now for over five years in a row uninterrupted that the group has gained market share. We've improved our on-shelf availability. We believe that is, part of the success is that we run over 98% on-shelf availability, which means customers get what they want when they're there looking for the product that they want. Similarly, it also supports the digital where you cannot not be in stock. The group opened 283 new stores in the past 12 months, 55 new supermarkets. A commendable item to mention is the fact that in the last six months, the entire point of sale system of the group was changed. RSA rollout is complete. It is the fastest rollout of a point of sale system of that nature globally. And we've got many international retailers actually confirming with us, if it's true that it was done in such a short period of time. It was all done at night. Over 60,000 hours of work and training went into getting that job done and I once again, really indebted to the people of Shoprite to achieve such a feat. We talk a lot about the Smarter Shoprite and the investments that we make in improving our operational efficiency. We will continue to do that. Most of the CapEx that we spend goes into new stores and revamps, and then on technology and enhancing our platforms. If one think, we had a very positive uptake with our partnership with Discovery Vitality, and we actually got the record market share gains in fresh, I say there's no holy grail around this cold chain supply chain in South Africa. The Shoprite cold chain and supply chain is as good as anybody's. We had to expand in our supply chain. We had no choice, fortunately, we did. And it came just in time because of the massive volume uptake we saw from Black Friday right through this festive season. We've rolled out a new online platform. We had to re-platform it and added general merchandise. So now you can, with your food delivery, you can also order or get some general merchandise in one delivery, also within a one-hour slot. And then we will still focus more on our food business, hence why we're disposing of the furniture business, and also will continue to give attention to our adjacencies, where we believe there is still good growth, where we are still way under index our average market share that we have in food. Just a reminder, Shoprite is not just a retailer. We actually have a purpose. We've defined it as we are uplifting lives every day. That means a lot of things. It's not only limited to good prices, but it's also how we are part of the communities where we trade. Shoprite is a proud of its African business. We are very pleased to say that we sourced more than 90% of our private labels locally. We have partnerships with the likes of Brad Binder and Dricus du Plessis. We also do a lot in terms of SMME development through our Shoprite Next Capital initiative. We have trained over 40,000 people in what we call our Retail Readiness Program. And then of late, we also have the Shoprite Foundation also open two robotics labs where children can get better equipped in terms of tech and their skill around use of tech. We also don't forget that we have a responsibility to the planet. 91% of our private label packaging is either recycled, recyclable, or compostable. We have, in the last six months, donated more than R112 million with surplus food. And I want to say safe surplus food, it's very important that we ensure that the food are safe and good for human consumption. Probably one of the standouts is the fact that we created almost 3,000 new jobs. That's not replacement job, but just actually new functions where we could employ almost another 3,000 people, of which we are very proud, one of the very few companies in South Africa that actually positively creates new jobs. That was just a little bit of a summary of the six months that was. We will unpack more of it and I will repeat some of the numbers again in context. I'm going to hand you over to Anton now and I want to repeat that it's important this time that you really pay attention to what he's going to explain around accounting treatment, especially because some of the numbers has been adjusted for the current financial year, but not in the comparable numbers. So it may make it more difficult for you in terms of your modeling, but if you listen carefully, it is not that complicated. So please, thank you. I'm handing it over to Anton now.
Anton de Bruyn : Thank you, Pieter, for that introduction and yes there is quite a lot that we need to deal with. But before going into the detailed numbers, I would first want to deal with two of the significant transactions which had an impact on how we present and disclose our results for H1. And here I'm referring to the sale of assets for the furniture business and the Pingo transaction. Additional to the transactions, we've also made two changes to our current reporting in an effort to be more transparent. The first change relates to how we report our sales numbers. And going forward, sales of the liquor stores will be disclosed separately per banner, which implies that we have split the sales growth of the Shoprite LiquorShop and the Checkers Liquor business into two and per banner. And I will unpack that as part of the sales growth of the group. Secondly, historically we reported the income from our business, example Rainmaker and Rex as part of Other income. We have changed the terminology to Alternative revenue as this is a more representative of nature of the revenue that's included in the line item. Again, when I get to that part of the presentation, I will deal with that. The first significant transaction deals with the sale of the OK Furniture and House & Home banners. The sale of the asset excludes that of the operations that we currently trade within Angola and Mozambique. The group classified these operations as Discontinued Operations in terms of accordance of IFRS 5 and have subsequently restated the income statement numbers for the comparative period. The assets and liabilities relating to these discontinued operations are included as assets and liabilities Held for Sale in the balance sheet for the current period. Very important to note is that the comparative number for the balance sheet is not restated, which impacts some of our key ratios like our inventory to sales ratio. And I will deal with that as soon as we get to the inventory slide. The disposal of the furniture business will unlock approximately R2.7 billion, which equates to the net asset value of the furniture assets classified as Held for Sale at the end of December, 2024. The group's remaining operations within Angola and Mozambique is not disclosed as a separate segment anymore due to the size of the business. And therefore you will also notice now when I report especially our trading profit from the various segments that we now only have three segments, our Supermarkets RSA segment, our Supermarkets Non-RSA segment and Other segments. Now the remaining two countries, the Angola and Mozambique operations will form part of the Other operating segment. Full details pertaining to the discontinued operations are disclosed in Note 2 and 6 of the financial results attached or as part of the disclosures. And just maybe in summary, if we look at the sales growth for the first six months, we saw improvement of 6.2% and from a trading profit point of view, we saw a 1.6%. The impact on the headline earnings per share relating to the restatement of the prior year was 21.2 cents and that will be important when we discuss our dividend growth for the current financial year. It is expected that the transaction will be finalized during the second half of the financial year. The second transaction that deals with the purchase of the remaining 50% share holding in our last-mile logistics provider, Pingo Delivery Pty Ltd. which allowed the group to secure control over both the sale of the merchandise and the delivery to our customers. The change in shareholding meant that the group would account for these transactions as one performance obligation. Now what does that mean in accounting terms? If you look at before the acquisition and before the effective date of that acquisition, we always showed as part of operating income the Sixty60 delivery recoveries from our customers as well as our extra savings plus subscription income. We also separately showed the delivery expense as part of our operating expenses. Post the acquisition, we now have the delivery recovery as well as the subscription income forming part of sale of merchandise and the delivery expense and purely the delivery expense pertaining to the drivers are shown as part of cost of sales. Note, however, and this is very important in how we look at our comparatives, this is totally different in how we dealt with our furniture transaction in the sense that with the furniture transaction, we restated our income statement in the prior year, but for the Pingo transaction, the prior year numbers are not restated. And you will see the impact of that, especially from a growth point of view, when we look at our Other income or Alternative revenue growth numbers going forward. Now that we dealt with the two transactions and the changes that we've implemented, let's focus in on the financial highlights. Sales increased by 9.6% to R128.6 billion with a like-for-like growth of 5.4%; strong total income growth of 10% to R33 billion and then total expenses increasing by 9% to R25.6 billion. Trading profit increased by 13.5%. to R7.3 billion and really commendable is our improvement in our trading margin where we saw improvement from that 5.5% to 5.7%. And when I unpacked the trading profit slide within the various segments, you will see that the RSA Supermarkets had very strong performance of a 15% growth within that segment. EBITDA increased by 16.7% to R11.7 billion which really shows again strong cash flow generation within the group and then our diluted headline earnings per share increased by 9.9%. Very pleasing is that our headline earnings per share could increase at a faster pace than our sales growth, but it is lagging the growth in terms of our trading profit growth of 13.5%. But again, taking into account the fact that there's a difference, the difference between the two is purely the finance cost where we saw a growth of around 28% for the first six months. Return on invested capital for the period was 16.6%, very much in line with the prior year, and our WACC rate is currently at 13%. The dividend per share increased by 6.7% to 285 cents per share, which is lower than the 9.9% growth in DHEPs for the period. Just maybe a reminder, if we look at the full year dividend policy of the group, is currently 1.75 times diluted headline earnings per share from continued operations. The 21 cents impact, I referred to earlier as a result of the restatement of the sale of the furniture assets, meant that the growth was at a slower pace in the current period. And we must remember that no benefit pertaining to the furniture transaction is currently included as part of the continued operations. The growth for the full year dividend, I do expect, will also be impacted by the conclusion of the furniture transaction but I do expect to see accelerated growth again from the 2026 financial year. Our return on equity was at 26%, which is 13% higher or above that of our weighted average cost of capital. Turning then to sales, our sales increase was 9.6%, as I mentioned. Excluding the impact then of that subscription income and the delivery income allocated to sales, the growth would have been 9.3%. If we look at the various segments, Supermarkets, RSA, we saw a 10.4% increase to R107 billion for the year. Our like-for-like sales within that segment was 6.1% and our internal food inflation was 1.9%. On the next slide, I will unpack a little bit more of where we saw that expansion, especially in the store base that gave rise to that growth of 10.4%. If we then break down into the various banners within the RSA Supermarkets segment, and this is where I've referred to in my opening statement around how we will disclose our Shoprite Liquor and Checkers LiquorShops or the sales growth within those various banners, is we can see that from a Shoprite, Usave and Shoprite Liquor banner, we showed increase of sale of 7.1%. And then Checkers, Checkers Hyper and the Checkers LiquorShops, we saw an increase of sales of 13.6%, supported obviously by also our e-commerce Sixty60 offering where we saw an increase of sales of 47.1%. Our Adjacent businesses, which includes the delivery income and subscription income from the effective date of the Pingo transaction, together with our Petshop and Outdoor stores, showed growth of more than 100%. I think what's important to note is that R312 million of that R873 million pertains to that part of the business where we spoke about the delivery income and the subscription income. If we then turn to growth within our Supermarkets Non-RSA business, we saw a 4.1% growth to R11 billion rand, like-for-like sales of around 1.5% and our internal food inflation measured in these very regions was on average 9.5%. Ghana remained in a hyperinflation environment and during the period we opened 13 net new stores within that segment. From a constant currency point of view, we saw sales growth of around 17.9%. Our Other operating segment increased sales by 6.2% to around R9.8 billion and again that was on the back of our franchise offering where we saw sales growth around 8.8%, which also saw more store openings and members within that part of the business. It's now important to note that although we've excluded the furniture business and restated that as part of discontinued operations, we must just remember that the Angola and Mozambique sales pertaining to the furniture part of the business still forms part of this part of the segment. If we then look at the still, the aggressive store opening program of the group, we added a net new 248 new stores to our store portfolio of around 2,485 stores. That meant that we added 5.6% in space. From a Shoprite, Usave and LiquorShop point of view, we opened 100 stores taking that up to 1,647 stores and then the Checkers business opening 72 stores to 637 stores. Just looking at the Liquor business, we now trade from 805 stores and that's excluding the franchise businesses where we also have liquor operations, which meant that we're still opening more than one store a week as well. Within the Adjacent businesses, we saw growth within the Petshop Science business by 53 stores and now taking up to a total of 128 stores. Importantly to note is that the group plans to open additional 122 stores in the current year, which is also important when we speak again about that inventory narrative where we saw some increases. If we then turn to our total income where we saw an increase of 10% to R33 billion, what is very pleasing is that we saw a 10 basis points increase in our total income margin. Importantly to note is that we saw a 10.8% increase to R30.7 billion in our gross profit, a R3 billion increase on the back of our strong sales performance, especially within our Supermarkets RSA business unit, a gross margin increase from 23.6% to 23.9% in an environment where we continue to support through our price investment strategy, which equated to around R8.9 billion of savings for our customers at till point. The improvement in gross margin was achieved on the back of our continued investment in our supply chain and driving that efficiencies in terms of volume growth. We also saw a reduction in fuel pricing and diesel cost pertaining to our transport business Transrite that delivers the stock to our stores. And then, like in the past, we've seen even further improvements in terms of how we measure wastage and how we measure shrinkage. Alternative revenue, the new concept that I spoke to in my opening comments, saw an increase of 4.3%. Now, one has to take into account the reallocation to sales, which meant that if we exclude the impact of that R312 million, we would have seen a 20.5% increase, but I will unpack that in the next slide. Interest revenue decreased to R119 million. The majority of that decrease relates to our assets in Nigeria that form part of the resilience structure where we gave funding to in the past. During our year-end results presentation, I mentioned that we acquired the shares in those businesses, which meant that although we see a reduction in the interest income, you will see on the next slide that we actually show the increase for similar amount in the lease income pertaining to those sites. So not too much of a concern, it's just a switch between interest revenue and lease income. Our share in profit from associates, very much in line with the prior year. There are two main factors driving the fact that we didn't see growth. The first one is that the profitability from our Pingo business and our shareholding in our Pingo business was allocated to the share of profit in the past. As a result of that transaction, that now does not form part of the share of profits anymore, and we're now consolidating line by line, which means that the profitability from that business will not be shown here in the anymore. And then secondly, we saw a slight increase in the profitability in the retail logistics front, which holds some of our key distribution centers. I think important to note here is that my comment earlier around the fact that any transaction pertaining or any line items pertaining to the Pingo transaction, we did not restate the prior year numbers. If we then turn to Alternative revenue, where we saw that increase of 4.3%, I've now referenced the R312 million quite a few times, where we saw that if we have to compare like-for-like growth, we would have seen a growth of around 20.5%. Commissions received from our financial services business unit saw an increase of 8.4% to R621 million. And despite a growing competition within the financial services market, especially relating to money transfer offerings, our money market kiosk in the Checkers and Shoprite stores has seen increased activity with the continued launch of new products within that environment, as well as the payout relating to the government grants. Sundry income, we saw an increase of 20.7%. Majority of that increase was on the back of the growth that we saw within our data and insights monetization tool called Rex. It refers to in his strategy piece, it unpacks a lot more around what we see within Rainmaker and Rex and the growth we've seen, especially within those business units, and also what it means for the group internally. As well, part of that line item is the subscription income that formed part before the effective date of the transaction, the Pingo transaction. If we then look at marketing and media, just spoke about the Rainmaker business where we saw accelerated growth and is currently performing ahead of the regional business case. Operating lease income, again referencing back to what I said around the resilient assets, and that's why we saw that accelerated growth within that part of the business. Our franchise fees received increased by 7.6% on the back of the 8.8% sales through that we saw, and that was in a very highly competitive part of the business. Turning then to expenses, we saw an increase of 9% to R25.6 billion. The growth is a little bit skewed as a result of the delivery expenses of Sixty60 still in the base, but for the current period, post the effective date, we've allocated those delivery expenses to cost of sales. I think what is important to note here is, that going forward, the 19.9% expense ratio will be our target ratio, if we really look at all our expenses together. From a depreciation and amortization point of view, we saw an increase of 18.4% to R3.9 billion on the back of those 283 new stores we opened in the last 12 months. And then more importantly, because also the right of use assets are included here, we saw 492 store renewals also occurring in the last 12 months. The target that we're driving for our depreciation is still that 3% cost to sales ratio, but we did see an acceleration from the prior year, which was running at around 2.8%. Again, you will see this link back to our capital expenditure, where we were also spending around 3.2% of sales. Our depreciation on our property, plant and equipment increased by 18.3% to R1.7 billion and then our depreciation relating to our right of use assets increased by 16.8% to R2.3 billion. Employee benefits increased by 10.8% to close to R10 billion and we're currently sitting at that target rate of 7.9% to sales ratio. Some of the drivers of growth within our employee benefits was obviously our expansion and the store opening program that we've seen. We spent more than R500 million on training during the last six months, which included R44 million pertaining to the Youth Employment Scheme, a government initiative to create jobs, which Shoprite currently supports very well. Very pleasingly is that we could also pay an additional R136 million to our Shoprite Employee Trust in the forms of dividends. Turning then to other operating expenses, where we saw an increase of 4% to R11.6 billion. If I look at some of the major expenses driving that growth was water and electricity, we saw an increase of 4.4%. And what is very pleasingly is that we are seeing a steady decline in that expense ratio to sales. You will all recall that prior to the load shedding, we were running at close to 2% expense to sales ratio. It then went up and peaked at around 2.3%. And we always said if there is an improvement on the load shedding, we should see those benefits flowing through back into the business. And that is what we're seeing this first half, where we saw a decrease in the prior year where we spent around R520 million on diesel costs, came down to around R164 million for the first half. We did, however, see an increase in diesel expenditure within our Zambia operations as a result of the power outages and the droughts within that region. Advertising expenditure increased by 6.7% to R2.3 billion and maintenance costs decreased by 6% to R2.8 billion. I think also relating to the improvement in the load shedding we've seen in the last 12 months. From a security point of view, we've seen an increase of 12.3% and the group on average spends around 1% of revenue on loss prevention. Lastly, we saw a decrease in our insurance costs, mainly as a result of our lower PTAs premiums, which is linked to the security walls that we built around our distribution centers to protect it against any civil unrest actions. I think the highlight for me of the presentation is obviously our trading profit. If I look at the improvements that we've seen within the various segments, so from a continued operations point of view, total growth of 13.5%, mainly driven by that Supermarkets RSA segment where we saw a 15% increase to R6.7 billion. We also saw an improvement on the trading margin from 6% to 6.2%. The Non-RSA supermarkets, we saw that decrease of R434 million to R394 million. R70 million of the decrease can be ascribed to the Zambia additional diesel expenditure. So in theory, if we had to take that into account, we did actually see a positive growth within that segment. But we are still hampered by various currency devaluations that we've seen within our Zambia and Angola operations. And as I mentioned, Ghana is still classified as hyperinflationary. From Other operating segment point of views, we saw a growth of 10% on the back of that 8.8% increase from a franchise point of view. And then just for a reminder again, that the furniture business of Angola and Mozambique now forms part of that result. Our targeted trading margin for the medium though is still on track and still remains that 6%. If we then turn to net finance costs, so an increase of 28.3%, mainly driven by the finance costs relating to the lease liabilities or IFRS 16. Although we saw a decline in our borrowings of from R6.3 billion to R5.8 billion, we still saw an increase of 29.8% pertaining to our finance costs relating to our borrowings, which just shows again the impact of the elevated interest rates within our current environment. I would like to stand still a little bit around our IFRS 16 lease liability and finance costs. We've done a lot of analysis in terms of the growth that we've seen over the last few years and what is really driving that growth. You can see for the last two or three years we've seen a constant increase on our finance cost line of around 13.6%, 13.8% and this year currently 20.2%, driven by our aggressive store opening program and then also driven by the lease renewals. And again you can see all the numbers pertaining to the lease renewals, which meant that the lease liabilities has seen an increase of 15.6% for the last two years and we're currently sitting on a lease liability of about R43.6 billion. Importantly to note is that the accelerated growth is as a result of also our decision to invest in addition in our supply chain. As I mentioned before, Pieter will also spend time on the decision making around why it's so important for us to be invested in our supply chain and to have our inventory levels at 98% in stock, but that is also driving some of the costs. I do however expect to see that we will see a normalization of the increase in the finance cost from H1 in 2026. If I then turn to, our capital expenditure that was at 3.2% to our sales. For the first half we did have elevated spend and it's purely linked to the point of sales infrastructure that we rolled out as well as the additional onboarding of supply chain capacity. So I do expect to see a slower spend within the second half. Our target for the full year remains that R8 billion spent, which we said is around three% of sales. Maybe just some of the key items in terms of our growth CapEx where we spend around 80% of our total CapEx. The new stores, we spoke about that 283 new stores and then we, on top of the point of sale rollout, we also took live our Sixty60 general merchandise delivery app and then also additional developments within our information technology teams. We continue to also invest in our store refurbishment program where another R700 million was spent during the first half. Turning then to our inventory levels within the group, we saw an increase of 11.5% to R32.6 billion. It's important to note that the furniture business had a R2 billion of inventory in the prior year and because we collapsed now the furniture segment that rolls up as part of the Other operating segment and that's why it's included in that R3.3 billion. Excluding the R2 billion pertaining to furniture, we would have seen an increase of around 18% in our inventory levels and that was mainly driven by the growth that we saw within our Supermarkets RSA segment where our inventory increased from R23.6 billion to R28.1 billion. We've prepared a waterfall to give you an idea of where we saw that growth. We spoke about the new store openings now a few times and that's where we saw a R1.4 billion growth. Importantly to note is that our fulfillment for our Sixty60 operations is through our Checkers stores which meant that that 98% in-stock level is extremely important for us within that environment. Cost price inflation of our product range as well as our imported products saw a close to R1 billion increase from that point of view and then a R1.6 billion increase on inventory as a result of the extensions of the Canelands distribution center as well as the opening of both our Riverfields and our Wells Estate distribution centers during the last 12 months. The group carries also on average around R1 billion of safety stock and that is really to drive the store opening programs. We spoke about 122 purely just in Supermarkets RSA but 155 for the group that is planned for the second half of the year. If we then turn to our inventory to sales ratios, what we have done is that we've excluded the impact of the furniture assets which meant that our restated first half 2024 result was around 12.3%. We saw that increase to 13.3% mainly driven by that Supermarkets RSA increase where we're currently sitting at 13.7% inventory to sales ratio. We do however expect as a result of the elevated stock holdings at the end of December that we will see a much more normalized inventory to sales ratio at the end of June 2024 which will be much more in line with what we had in the prior year. If we then look at our funding structures within the group and the cash generation within the group we saw our borrowings decrease from R6.3 billion to R5.8 billion on the back of our US dollar debt reducing from $28 million to $7 million as a result of some of the inflows we received from Angola pertaining or in value was around $15.6 million. Our borrowings to equity ratio improved from 23.8% to 21.1%. Important to note is that the majority of the capital spend within the group is funded through the cash generated in its operations. If we need additional capital to expand the business we do have access to our additional R6.3 billion of facilities. We did see a negative impact on our changes in working capital but that was expected. With the expansion within our supply chain we knew that our inventory levels will increase and that has given rise to part of why we saw a R1.8 billion negative outflows in terms of our working capital. We also saw a negative movement on our trade and other receivables and that was purely pertaining to our franchise business where many of the members only paid us post our cutoff at the end of December. The group did continue with its share buyback program and during the first half we did buy back R997 million of shares. Since the inception of the program, we've now bought, in 2021, we've bought back R2.6 billion in shares. Then turning to our free cash flow, our EBITDA increased by 16.7% to R11.7 billion. If we take into account the total operations which includes the discontinued operations our total EBITDA from the operations is R11.9 billion. If I then look at the free cash flow generated throughout the business after taking into account our lease liability payments which includes the capital portion as well as the interest portion as well as the negative changes in working capital, the group did generate R4.4 billion in free cash flow. In terms of how we spent our capital, was around R7.8 billion for the first six months which meant that from a investing back into the business, there was R3.3 billion of gross CapEx. We did also spend R500 million on acquiring that additional 50% within the Pingo business, Pingo Delivery business and then we rewarded our shareholders with dividends of R2.4 billion during the period and I've just mentioned as well the share buyback of close to R1 billion. If we then turn to the free cash flow conversion and the various ratios, our free cash flow conversion ratio is at R4.4 billion as a percentge of the R11.9 billion which is lower than last year but still a strong 37%. And then cash flows generating from our operations which was around R9.8 billion as a percentage of that R11.9 billion, it's a very strong 83% ratio. In closing, if I look at what lies ahead for us in the second six months of the year, as we've spoken a lot about now on how we need to think about the Pingo transaction and the furniture transaction, so please take note that the delivery income as well as the subscription income will now be for the full six months, form part of sales. So the first half results presentation next year, I will still talk about the few months that the part the Pingo form part of that business but then we will be done with that. Secondly we saw a internal food price inflation of around 3.1% in January coming from the 1.9% that we spoke about earlier and comparing that to last year was around 6.3%, also spoke about the aggressive store opening program still for the second half as well. From a gross margin point of view again important to note the impact of the delivery expenses that will now form part of our gross margin and then some of our costs where we've given 9% staff cost to sales ratio and depreciation of that 3%. Our finance costs we will still see elevated finance charges in the second half but as I showed as well through the patterns and the tables that we will start seeing a normalization throughout the 2026 financial year. And then our effective tax rate, we've seen a decrease to 30.7% in the first half and we are currently doing a lot of work on how we look and evaluate our effective tax rate and I do believe there's more room for us to improve within that part of the expense lines. From a Non-RSA point of view, we've seen still currency volatility within the various regions we trade. Ghana is still classified as hyperinflationary and Malawi has been put on the watch list also for a hyperinflationary impact. From an inventory point of view spoke about the normalization to be much more in line with what we saw in the prior year and then our capital allocation just a reminder of the full year dividend policy where we have a 1.75 times diluted headline earnings per share from continued operations. And then lastly, it's just a capital expenditure, saw that elevated spend within the first half but we do believe that we will be able to pull that back and spend around R8 billion for the full year. Pieter, that then concludes my part of the presentation and looking forward to your part around the operational and strategy of the business. Thank you very much.
Pieter Engelbrecht : Thank you very much Anton for that detailed explanations. As I already have mentioned it was exceptional first half financial performance outpacing the peers. The number that I didn't call I mentioned down R28 billion in revenue but what that means is, in the six months we had to add an additional R11.2 billion in revenue. Gross profit grew by 10.8%. I did mention its 30 bps up, very good. It comes with a combination of good buying but also the tools that we have to manage the margin better. The commendable one here is the trading profit that has outgrown both gross profit and sales growth as a percentage leaving us with a trading margin of 5.7%. We continue to spend over R8 billion in CapEx. We did open 55 supermarkets in the last six months. We plan to open another 123 in the next six months. The one that I have to just go back to again is the inventory. I did say that we have added two additional distribution centers. If we did not, I don't think we could have achieved that sales growth. The volume was just enormous and it started from Black Friday all the way through. And although those distribution centers are not yet at full capacity without them we would not have been able to make sure that customers get in excess of 98% on-shelf availability of their product which for us is important but with that also comes the fact that we do carry more inventory to ensure that on-shelf availability for customers. And it's important, one, because of the cost of transport and the fact that a lot of our people can't shop around, so they need to get what they're looking for when they get to us and the other is the demand from the digital customer. It's incredible to be able to think about the six months and say we've had 625 million customers through our doors and on our digital platform i.e. we served 625 million customers, a growth of 4.6%. With that also, we sold a record number of 3.9 billion items at a 6% growth and the result of this is the market share gains of R4.7 billion. If one looks at the last five, six periods, and I'll refer you to the graph on the left, it is clear that Shoprite has consistently outperformed the market and that this actually, what I mentioned right at the beginning, it's actually accelerated in the last half. You can see the graph at the end. And what is also very pleasing is that all of our brands have gained market share. Leader of the pack is Checkers, yes, it's still in premium food, the fastest growing retailer. But it's important that we can say that the market share gains was across all of the brands. Even if one looks at the bigger one of the brands like Shoprite, the retail brand, still grew at 7% with an inflation of sub 2%. We pride ourselves that we are Africa's most accessible and affordable retailer. Lower prices, that's what we stand for. I did mention inflation coming down to 1.9%. If one compare it to last year when we were at 8%, when I then just look at the relativeness of what the revenue growth was in terms of the inflation, what's interesting is, in general people say prices never come down, they only go up. And we looked at the number and we can actually say that 35% of our products in the last six months have experienced a deflation, so prices do come down. You can see what I mentioned, the inflation graph, where we peaked at over 13%, that's all relative in terms then of course of the revenue growth, even much more so the fact that we in the RSA business had double digit growth on a 1.9% inflation. How does one do this? What's the secret here? It's the smarter promotions. We gave customers back $8.9 billion in cash savings right at till point. On the other hand, we can see it's a sign of the economic environment that customers are adding more promotional items in their baskets. That increased by 2.5 basis points to 37.9%. Now, one has to manage this very carefully because you can eventually promote yourself bankrupt if this just carries on. So that's why we invested in technology to help us to set optimum pricing, understand price sensitivity, and also the selection of promotional items. Items that have volume lift at promotion and not just making up big promotions or items that are not meaningful in terms of the consumer's needs. There are certain things that we actually don't make margin on because we every day put ourselves in the position of our customers in terms of their own life conditions, their affordability, the amount of money that they have got to spend. Therefore, we still sell a loaf of bread for R5 since 2016. We have R1 items and R2 and R3 and R5. And those that we don't do because we are making money on there, we do it because we believe our consumers need it. Because we are a multi-brand retailer, we like to show this graph just to say where are they each positioned. And you can read there, we put a small definition for each one, exactly what its position is. It's a very laser sharp focus in terms of what each brand stands for and delivers on. That's why the operational teams are also separate, that's why the marketing is different, but you can clearly see that each of the brands have a very definitive position in the market. If you look at the numbers, yes, Shoprite is still one with the largest number of stores. We opened 55 supermarkets in the last 6 months. There's still for us another 125 stores to open in the next 6 months to June. So, we're not done yet. There's still a lot of work to be done. Now, Shoprite, the brand, if we just go quickly into the individual consumer brands, sales growth over 7%. I did say on inflation of under 2%, it's important to take note of that, adding up to just over R59 billion for the 6 months. Shoprite is built on a low price promise. People can't afford to come to us and then we don't have the product, they don't have the ability to shop around. So, it's our promise that the stock will be available. It's our promise that it will be at affordable price and it's our promise to give them relevant promotions. Usave, as I mentioned, is very clear. Very specific position, so limited assortment, lowest price, the benefit of the Usave is that we can go to areas which are underserved or doesn't have full facilities to accommodate a full-fledged supermarket. The numbers of Usave would have been substantially more, but we also close a lot of Usave stores once areas develop and there's enough electricity, water, sewerage, etc. And the catchment does allow for a larger Shoprite store, one or two, and then we may elect to actually close a Usave store. We can move around. It's not CapEx heavy, so therefore we are able to open and close as required. We also have, as you know, the Kasi store where we really go to areas that have virtually no formal retail to ensure that everybody gets access to affordable prices and safe food. Shoprite is the consumer champion. We are so involved with our communities. It's almost hard to think that Shoprite doesn't touch somebody's life somewhere in the value chain, as Shoprite plays a very significant part in the entire value chain from farm to fork. Checkers, I mentioned, it is the leading and fastest growing premium grocer for the fifth year in a row now. We're gaining share of wallet from both value focused and affluent customers across the board. We've had record gains in fresh, I did mention that. We have a very successful partnership with Discovery Vitality where a lot of customers elected Checkers as their whole food partner. A lot of promotional activity, upgrading of the FreshX stores are received very well by customers. They really like the stores. But probably the number that is really outstanding is that every single day in the last six months, Checkers served an additional 75,000 customers. That resulted in a sales growth of 13.6%, now amounting to R47 billion. And if you remember, Shoprite sitting at about R56 billion, that cap is now narrowing that the brands are almost of equal revenue size. Of course, the Checkers brand carries a higher margin because of the type of customers that they serve. I think everybody here is familiar with the Checkers Sixty60 brand. It is the number one on-demand grocery delivery platform. We have added now general merchandise also to the mix. So you can now order general merchandise, around 10,000 general merchandise items together with your food in a single delivery. We've seen an increase of 1.3 times customer average frequency of ordering. We've grown 47% in the last six months and there's no sign that it is slowing down. The base is, of course, very high already. What is outstanding and a very pleasing number to say is that since the inception of Sixty60, over 14,000 new jobs were created and more than 50% of those are Africans. And then there's this thing about Sixty60 that I say it’s true brand love. Customers have really accepted this as their own brand. That little scooter bike is our number one selling toy. Kids just love it. We've seen on social media how some kids have themed Sixty60 birthday parties. Now that is when customers really adopted your brand and probably the best thing that any retailer can ever ask for. And as a result of this brand love and customers accepting the brand, we are able to do some very innovative marketing promotions. You've seen we branded the aeroplane. We've got the van. We've got the Dricus as a partner. We love to surprise and delight. So sometimes when you get your delivery, you get a free chocolate. Customers love that. The Supermarkets, the Rest of Africa, as some refer to it, or we say non-RSA, it's actually a one-liner story. Zambia, we know the trouble or the problems that they have around electricity, cost of diesel now, the low water levels in the Cahora Bassa Dam. So that's really the story of the reduction in the profitability of that segment. If that would have normalized, we would have been pretty much on par with last year. Some of the other operating segments that equally well, franchise performs very, very well. The Transpharm and Medirite may look to have slowed in sales, growing only 1.1%, but it's just a result of what's in the base of last year. You may remember that some of the opposition's delivery businesses did not function for some period, and that business have flown to Transpharm at that time. And then furniture, as you know, we are making progress, so far there's been engagements with the Competition Commission. It doesn't look to be an issue or that there's a problem. And it's a process that we will have to go through. And I do believe that Pepkor is a good home for the furniture business. And as I said earlier, we remain focused on our food business and the agencies that we have started. You're all very familiar with our strategic priorities, as we say, for long term growth. We've got the creating a Smarter Shoprite and there's new opportunities and winning in the long term. These have stayed fairly consistent. I said that also before. We don't do knee jerk. We execute against the plan. Many years ago, when I started talking about precision retailing, I think I was either misunderstood or people thought I was dreaming something up. Today is a reality and all retailers are talking about that. Our journey started with culture, where we started the Xtra Savings retail rewards program, where customers got instant savings, because that was what they were looking for. They were not looking for points at some point to redeem. We gave them the discount right at till point. We have taken all our advanced analytic capabilities now in-house. It helps decision making, but it's also a revenue generator for us. Gross margin get optimized by the data, because with artificial intelligence, we can also much more scientifically determine price sensitivity and promotional uptake. This makes it much more fact-based. The data has made a big change in how we decide what and when to promote. Our like-for-like customer value increased through the personalization engine. It's an example where items can be marketed to end customer specific and our on-shelf availability was improved because of the smarter forecasting we can do. Also, the fact that we have the data that says when and what product sells when and at what price. Through ShopriteX, we improve our digital capabilities to leverage our platform advantage. It's that saying of platform at scale when it takes it all. I've listed there, just very quickly, it's the Xtra Savings I mentioned earlier. That gives us the customer data and then the customer data then help us to customize promotions. As an example, on the Sixty60, it's the number one online grocery delivery platform and we've now enhanced that with general merchandise. Rex platform is the advanced analytics tool that we have that assists us with the category management and it's also income generator. And then the Rainmaker Media, it's our media business that together with all the data and advanced analytics, we are able to much more specific and precise determine what customer we can address through which medium and it also generates us revenue. We do believe we have a sustainable digital advantage. Sixty60, we have mentioned that now a few times already with the Xtra Savings that you now get through the subscription model, R99 a month unlimited deliveries. We've seen very good traction in that, over 90% growth in customers taking that service. We've added the general merchandise. Anecdotally, we say you can now buy an Apple iPhone with your Apples in one delivery. So for us, we've mentioned that before also, it's a race for reach. And we've seen a growth of 31% of active digital customers in the last six months. You know about our transaction with Pingo, where we acquired the remaining 50% and now own the business 100%. Important for us, that we own the entire value chain and especially the last mile. There's a lot of work to be done. There's a lot of progress that has been made already in that business, but we still have some work to do to get that service to the levels where we expect it to be. We don't think we can do everything ourselves. We’re faster by forming partnerships. So the one is also that I've mentioned on the health and the wellness, our partnership with Discovery Vitality has got very good traction and assisted us to grow our market share of fresh substantially. We have also now formed a partnership with Standard Bank for their UCount discount offering, where you can get up to 40% back. It's not live yet, but soon to come. And then I don't think there's others, especially South African retailers that have got a global partnership. We've decided that we are going to partner with some international retailers, amongst them, Woolworths Australia, TESCO, Ahold Delhaize, Sobeys. And our idea here is that we collaborate in terms of technology, especially advanced capabilities in terms of software and also we exchange information as we are non-competing retailers. We continue to invest in future-fit capacity to sustain growth. Amongst that, supply chain is absolutely vital and critical. In this African context, the only way to be 98% in stock is if you manage your own supply chain. And I did mention that we've opened two additional DCs. And if it wasn't for that capacity, we wouldn't have been able to be at 98%. The other reason very simply is that the delta of service level between what's inbound and outbound is necessitating us to invest in our own supply chain. I think Shoprite has an absolute world-class supply chain and therefore we can support our customers and I can vote with a feet as we've shown earlier, a growth of 4.6% in customer visits. We will continue to expand our store network. We in total are planning another 151 stores for the next six months. That's inclusive of all of the adjacencies like the Petshop and Outdoor, etc., not only supermarkets. You're very familiar with this flywheel. The only reason why I show you this again is to emphasize that everything centers around our core business in the middle, our bricks-and-mortar business. And then we slot in all the adjacencies around that that supports that business. And we will continue to do that. As we understand it, that this is what you do, you compare businesses and we thought, let me just share with you how we see the business in these few points. It's our scale and our operational efficiency, absolutely crucial. I do believe that Shoprite's level of execution is superior. Our unrivaled data driving decision making, the wealth of data and the fact that we now can make fact-based decisions, makes our decision making just so much better. We still have this growth ambition in our grocery adjacencies. We do think there's a lot of potential still. The adjacency businesses are showing very positive signs. Shoprite has a superior supply chain and distribution network, allowing us to deliver on the customer promise, on on-shelf availability. Our financial resilience and growth capital, very strong, clean balance sheet, very simple to understand, our distinct multi-brand customer propositions. We're one of the few retailers that actually has a multi-brand strategy. But in the South African context, it clearly works. Hence, five years of market share growth now, uninterrupted. And then I mentioned the platform business. Scale is important when it takes it all. This concludes our presentation. We really try to make it as short as possible to give you time. I know you've got other reporting to do also today. So we will go over to questions now. And while we wait for the questions to come through, I'll just cover a few points on the outlook for the next six months. Okay, so while we're waiting just to get some of the questions through, just three short points that I think we're not really giving guidance. But January was a very good month for us. It was ahead of the H1 sales; inflation around 3%, that's what we've been guiding all along. And probably for the rest of the year, we would look at sub-5% inflation. And yeah, then we still feel quite confident that we'll be able to execute for the remainder of this financial year against our plan. We've got a lot to do. We're certainly not finished. Well, our project list is quite extensive. And yeah, let's hope that we can surprise and delight. So Anton, if you go into the questions, then.
A - Anton de Bruyn: There's quite a few questions around the impact of the Discovery partnership and UCount. So maybe elaborate on how do you see those future partnerships and the value within those? Is it a once-off benefit? I mean, how do you think about fresh and all those things in terms of those two partnerships?
Pieter Engelbrecht : Yeah, I think that the Discovery, we engaged with them a while ago. And at the time, I think maybe they weren't wrong and we weren't ready. Today, it's a different story. And they approached us. And I think it's an excellent partnership, the vote of the customer’s have actually proven that. So many customers have actually voted Checkers as their partner, both digital and physical. And I see a much wider relationship between us and Discovery. If you want to think about our whole plan going into the health and beauty and also accelerating again our pharmacy business and going standalone, there's so much that I see opportunity in that. There's Discovery Bank as well. One can in future think what that can entail. And on the Standard Bank UCount, excellent benefit. I mean, that's the reason for it. We believe that when times are tough, we have to do everything that we can to give customers better value. And that's exactly what we did. And that's why we formed the partnership with Standard Bank as well. So in both instances, it goes about better and more value for the consumer.
Anton de Bruyn: Thank you, Pieter. So there's quite a few, and I'm not going to mention all the names that I've asked, but it's going to be a long question. So just around Sixty60 and e-commerce, how you think around Petshop? How do you see the future growth, the profitability of that business unit? How do you see it? Can it extend to Shoprite further? Can it extend to Usave? So I think yeah, a long, long question in terms of trying to really unpack your thinking around what you see within terms of Sixty60 and e-commerce.
Pieter Engelbrecht : Very fast growing business, of course, very high base. It is the leading platform. And it was actually re-platformed in the last year. It is, in my view, the only platform where you can, through web and app, actually use all of it simultaneously or separately and still be able to do a single checkout. One payment and excellent. The experience is just great. Customer feedback is fantastic. We will continue to improve, enhance, and add services. It is now built in such a fashion that the other business units can be added. I know we went with the Pet and the Liquor from central distribution centers originally. It's a model that can't work. It is not profitable. South Africa is too big to try and serve the entire country from two or three distribution centers. You have to be in close proximity of your consumer with your product. Therefore, Sixty60 is a highly profitable business because of that. Yes, we have now extended it. We are now going to move to 19 Shoprite stores also with the Sixty60 service. And we tested it in three stores. There is a demand for it. Don't expect it to be at the same level and size of what the Checkers business is today. But there is definitely a need for it. And that's what we do. If customers are looking for a service or product, then we will deliver.
Anton de Bruyn: Thank you, Pieter. There was one question around IFRS 16 and how do we -- what does normalized mean. I think, all I tried to mention there is that we have seen an elevated growth as a result of our investment in our distribution centers as well. Our depreciation from our ROU and renewals of leases increases around 15% per year. If one looks at that going forward, one will not see this 29% or 20% increase within that environment. So for us, that means normalized. That's in line with what we see in terms of our store growth. So that will always support that growth. Then there was also a question around our share buyback program. So just a reminder, that we have got a mandate in place in terms of the Board which approved R1 billion a year buyback program. It is obviously a point in time. If we look at the total value of our buyback program since inception, the average price is R211. And if you look at that, excluding the impact of dividends, you look at a 30% return within that. So I think Marie, in terms of your question around returns, obviously we evaluate all our projects internally around what is our hurdle rate for us to invest in those projects. And that's why the share buyback program basically also is in line with some of those returns. If we then can, there was also a question around would you enter the DIY market, Pieter?
Pieter Engelbrecht : Well, we looked at it three years ago. I think we were quite active in looking at the possibility of entering that market. It was primarily born from a request from our franchisees that wanted to add to their offering, especially if you think a lot of them are rurally based, where they are not easily accessed through that kind of product and service. But the market has changed quite a bit. And if you look at the results from the DIY players over the last three years, it's not great. So we will keep our eye on it, but for the moment, we don't have a planned investment in it.
Anton de Bruyn: Okay, thank you. Then on alternate revenue, so we've always spoken about sales growth and how we see our gross margin growth, but we've lately spoken a lot about alternative revenue streams. So what is your thinking about how do you see that mature, I mean what is the size of the price for you in terms of where you see Rainmaker? Is it at higher margins? Is that driving also the reason why we talk about the increase in our trading margin in the medium, next say two to three years achieving 6%? Maybe just elaborate a little bit about that.
Pieter Engelbrecht : Yeah, so first we must just be realistic, it's still small. I mean you're talking like R5 billion with gross profit margin at R70 billion. So we must just be realistic on where the numbers are today, but the growth rate is something different. And the margins are much higher. And hence, the support of a higher trading margin has that participation of Other income or what's the name that you've now changed?
Anton de Bruyn: Alternative revenue.
Pieter Engelbrecht : Alternate revenue, and as that increases, the margin should benefit, the trading margin, because things like Rainmaker Media, they come at a substantially higher margin than what food retail comes. And, I mean, it's early days for us, but the media market, as an example, we're talking about market size of about R25 billion. And we just started there. So if you just apply what is our average market share in food today, and we say if that is our target to achieve, then you can make the sum what it can contribute. Whether we get there, that's going to be up to us. How we price, how we sell, how good we are in terms of actually delivering because it's all about delivering a return on investment for your user. In this case a lot of our users of that service are our partners, our suppliers, our FMCG partners, there's also non-FMCG partners. So we also have people, because of the richness of the data that want to access that data. There's a lot of examples I can give you. We’ll be busy for a long time if I give you all the examples of how other industries like insurance and banking and they can also use that data to their benefit to reduce their cost to serve. We're all about trying to reduce the cost to serve because everything has become so expensive. We all are trying to fight every day to reduce the cost to serve.
Anton de Bruyn: I know you're passionate about this one and it's going to be a very short answer but Sade, I mean so Pieter, Sade asked a question with regards to your point of sale and your DCs. Have there been any issues with regards to the implementation and was there any impact on your efficiencies within the business?
Pieter Engelbrecht : Well, obviously there were efficiencies, yes, because otherwise I said I think a few times, we would not have been able to grow volume at 6% if we did not have those facilities. It wouldn't be possible, so from an efficiency point of view. But I mean, it's just a fantastic story. It doesn't matter from what angle you look at it. The point of sale implementation was virtually seamless. It happened at night. No customer was ever impacted. And I mean when we took Wells Estate live, Andrew phoned me that day, it was the Friday, when the first deliveries came in at two o'clock on that Friday. And by five o' clock he said to me, it's all smooth going, there's no glitches, systems are working. It's as if the DC has been running for months.
Anton de Bruyn: For months.
Pieter Engelbrecht : So, fantastic, both implementations, world class.
Anton de Bruyn: Pieter, there's just a question around capital and the capital spend of about R8 billion. As I mentioned, we saw elevated spend in the first half. So it was at a faster pace than in the previous years. But I do believe in the second half we will see a pullback. We had those big investments to make in the first half. But going forward, the R8 billion, we've said many times, if we look at our store opening program, what we invest in terms of our refurbs, also in terms of what we invest in digital, I cannot see that we will spend less than the R8 billion. I mean, it's below, or it's for the full year. In theory, that should be below the 3% of sales. And so I think that is basically again the guidance if somebody asks about how do we think about capital expenditure in the future, I can't see that going lower.
Pieter Engelbrecht : No, and I want to add to that, Anton is, if we compare that to our peers, the gap is getting wider and wider. So if you spend, if we keep on spending R8 billion and our peers are spending R1 billion, R2 billion, R3 billion, that gap is just widening every year. As you have said in your part of the presentation that most of the money actually goes into new stores and store revamps, making sure our real estate is relevant and up-to-date. And the rest goes into tech, technology. So what we need to live up to that thing that I said, precision retail, it's the only way to do it. So we're going to continue. We're far from over. We're not done yet, so a lot to do.
Anton de Bruyn: Maybe just in terms of gross margin, yes, we saw the increase of 30 bps. What is really driving in your mind? I mean, obviously the investment within supply chain, but what is driving that increase for you? And if you think now to June, we always say that the first half gross margin is lower as a result of how we look at our November and December promotional activity. Last year we ended around 24% with gross margin. Do you see an increase for the full year? Are you comfortable with that gross margin level?
Pieter Engelbrecht : Probably I have to start almost asking you a question. Where would you spend your money if you were a supplier or a manufacturer? You'll spend your money with the people that give you volume growth. Now, Shoprite gives you 6% volume growth. Then that means I would like to give you an extra promotion, maybe, instead of somebody else. So, that's sort of where I want to start without the support of the margin. Then it's the tools I've mentioned, our ability to much better predict and determine what is the right price point. And all compliments to a fantastic buying team using the data to make fact-based decisions. and don't go like I mean, many years ago we did promotions on what's in our stomach, gut feel and today it's all fact based. So yeah I think the margin can be maintained.
Anton de Bruyn: Then I'm going to answer, I've got [Waynant] and [Jaish], has got similar questions around. If we look at the adjacent businesses, if you think about Medirite and now the standalone Medirite stores, and also Uniq, I mean, obviously we are competing in those areas now, or how do you see that growth and the pace at what you want to see that growth going forward?
Pieter Engelbrecht : Yeah, we saw the growth is over 100% and Pet is running away. Yeah, very soon we will be the biggest Pet business in South Africa. And Uniq is a fantastic, I mean it's got a niche market, you must just stay true to what it was designed to be. It's not a fashion retailer. It is a basic start of your outfit, which you can complement with fashion. Definitely in the health and beauty, medicine, let me call it that way, the international word would be drug but there's definitely space in that market. There is limited players in that space and I think we have a very compelling offer. We've learned a lot already and we will start to accelerate on it but it's small still. It's for us a long play. It's part of us making sure that we will continue to be a high growth company. We all understand, I mean it's not possible to endlessly grow market share in food. We have to supplement it with, and that's why we have this alternate income and revenue and businesses to give us the ability to get a larger share of wallet from the consumer. And but to do it more cost-efficiently so that customers elect to do it with us.
Anton de Bruyn: Thank you Pieter. I'm going to ask you two more questions. The one is just briefly your thinking around Non-RSA and the growth you expect within that segment.
Pieter Engelbrecht : Yeah, we've consolidated, I think, to almost as much as we can. You mentioned two countries, Malawi and Ghana. Hyperinflation, we'll have to make a decision on it. There's probably a specific question on Mozambique. So currently, the two stores in Mozambique that was damaged. And so we closed it, and we're not going to reopen them. So for the rest, I am still very positive around Angola, Zambia. They will get over that electricity problems probably just like South Africa. It will rain again. And I'm still very positive about Angola. I think the country has just so much to offer. Namibia, we all know the other predictions. In two years' time, they're talking about 8% GDP growth. And then the countries around South Africa, the Lesotho, Swaziland, those are doing exceptionally well for us, and we're putting extra effort in it. We improved the supply chain to Swaziland recently. So, yeah, I feel still positive on what we have remaining in that portfolio.
Anton de Bruyn: Okay, then the last question is just around the growth in Shoprite and Usave. I think the expectation was that you would see a faster growth. Is it as a result of inflation, competition? What would you see within those two banners?
Pieter Engelbrecht : Well, I want to start to say that, remember we have got a base of almost 16% last year. That's the base of Shoprite and Usave. So, memories are short. And then we had much higher inflation. Now, the inflation is 1.9%. You still grow 7%, double the market. So, I'm not sure what's the problem. But if you go double the market, I think the business is doing exceptionally well, but we must understand that the inflation or the low inflation is impacting the overall number. And secondly, the commodities, obviously has an impact, and affordability from the consumer. If I have only R370 as a SDR grant, then I only have R370. I'm happy to say that last year or last time we were here, I said if the inflation is going to come down, we will see an uptake in the volume, and that happened. People are able to buy slightly more items. But I think the two brands have still performed exceptionally well. Double the market, I think I'm very pleased with it.
Anton de Bruyn: Pieter, I think that's all we've got time for. And we basically more or less answered all the questions.
Pieter Engelbrecht: Thanks, Anton. And thank you to everybody for joining us today and I hope we managed to keep it short enough so that you still get time for all the other reviews you have to do today. So thank you very much to everybody. Thank you.